Operator: Good morning, and welcome to Landstar System Incorporated's First Quarter Earnings Release Conference Call. [Operator Instructions] Today's call is being recorded. If you have any objections, you may disconnect at this time. Joining us today from Landstar are Jim Gattoni, President and CEO; Jim Todd, Vice President and CFO; Joe Beacom, Vice President and Chief Safety and Operations Officer. Now I would like to turn the call over to Mr. Jim Gattoni. Sir, you may begin.
Jim Gattoni : Thank you, Bill. Good morning, and welcome to Landstar's 2023 first quarter earnings conference call. Before we begin, let me read the following statement. The following is a safe harbor statement under the Private Securities Litigation Reform Act of 1995. Statements made during this conference call that are not based on historical facts are forward-looking statements. During this conference call, we may make statements that contain forward-looking information that relates to Landstar's business objectives, plans, strategies and expectations. Such information, by nature, is subject to uncertainties and risks included, but not limited to, the operational, financial and legal risk detailed in Landstar's Form 10-K for the 2022 fiscal year described in the section Risk Factors and other SEC filings from time to time. These risks and uncertainties could cause actual results or events to differ materially from historical results or those anticipated. Investors should not place undue reliance on such forward-looking information, and Landstar undertakes no obligation to publicly update or revise any forward-looking information. Given the current freight environment with soft demand and readily available truck capacity, Landstar performed relatively well in the 2023 first quarter. Heading into the 2023 first quarter, demand for truck transportation services was somewhat soft. In addition, Landstar was faced with probably the most challenging quarterly financial comparison in its history. Landstar's 2022 first quarter was not only our best ever first quarter performance, but the best quarterly financial performance for any quarter in the company's history. Prior to 2022, the 2021 first quarter established a new all-time record for first quarter revenue at Landstar. 2022 first quarter revenue exceeded the '21 first quarter by 53%, growing by over $683 million. In fact, net income and diluted earnings per share each established new all-time Landstar quarterly records in the 2022 first quarter that remain unbroken today. In contrast, the freight environment was dramatically different in the 2023 first quarter. Looking back at the 2022 first quarter, consumer demand was very strong and supply chain disruption was at its peak. Those conditions resulted in a lack of available truck capacity, driving truck transportation pricing to all-time highs. Following the 2022 first quarter, demand began to soften as supply chain bottlenecks began to clear. Beginning in the summer of '22 and carrying through today, we are clearly in a different freight environment. Truck capacity is more readily available with market conditions currently favoring the shipper. As it relates to Landstar's 2023 first quarter performance, our results were generally in line with what we expected. Our first quarter guidance calls for the number of truckloads hauled via truck to be below the 2022 first quarter in the 10% to 12% range and overall revenue per truckload to be below the 2022 first quarter in a range of 15% to 17%. The actual number of loads hauled via truck in the 2023 first quarter was 12% below the 2022 first quarter at the low end of the truckload volume guidance. Actual revenue per truckload in the 2023 first quarter was 14% below the 2022 first quarter, slightly better than the high end of the truck revenue per load guidance. The slightly favorable variance on revenue per truck load compared to guidance was mostly driven by a higher-than-anticipated revenue per truckload in January, offset by lower-than-anticipated revenue per truckload in February. March came in near our expectations. In the first several weeks of April, truck revenue per load is trending slightly below normal sequential month-to-month trends. As to our air, ocean and rail intermodal transportation services, 2023 first quarter revenue was $108 million or 55% below the 2022 first quarter. The significant decrease in this non-truck transportation revenue was in line with our expectations of lower volumes across all the other modes and the expectation of a significant decrease in ocean revenue per shipment. The decrease in revenue of our non-truck transportation services was mostly due to a 48% decrease in ocean revenue per shipment, and lower volume of 39%, 32% and 9% in rail, ocean and air services, respectively. With respect to conditions in different parts of the truckload market, as mentioned in the earnings release, revenue on unsided/platform equipment held up considerably better than revenue hauled via van equipment and other truck transportation services. The quarter over prior year quarter revenue comparison for van were much more challenging than those for revenue on unsided/platform equipment. Revenue on van equipment in the 2022 first quarter crushed all-time first quarter records for van loadings and revenue per load. Revenue hauled via unsided/platform equipment, although also still strong in the 2022 first quarter by historical standards, was less impacted by peak supply chain disruption and heightened consumer demand. One metric we follow is revenue per mile on loads hauled by BCO trucks, which tends to be a more pure indicator of pricing, as this data excludes fuel surcharges billed to customers that are paid 100% to the BCO. Revenue per mile on van equipment hauled by BCOs in the 2023 first quarter was 26% below the 2022 first quarter. In contrast, revenue per mile on unsided/platform equipment hauled by BCOs in the 2023 first quarter was only 6% below the 2022 first quarter. It should also be noted that although the market has softened significantly from a year ago, Landstar revenue per mile on BCO van and unsided/platform equipment both remain above the pre-pandemic 2020 first quarter by approximately 30%. I believe the rates will remain higher than pre-pandemic levels given the significant amount of additional cost pressure to operate a truck today as compared to 3 years ago. Turning to volume. Total loadings on all modes in the 2023 first quarter were almost 13% below the 2022 first quarter. Loadings in our top 25 commodity categories, which make up about 70% of our load volume, were down a combined 10% compared to the 2022 first quarter. From the 2022 first quarter to the 2023 first quarter, total loadings of consumer durables decreased 11%. Automotive equipment and parts decreased 15%, hazardous materials decreased 4% and building products decreased 16%, while machinery increased 2%. Landstar is known throughout our industry as a key truck capacity provider to other trucking companies, 3PLs and truck brokers. During periods of tight truck capacity, those entities reach out to Landstar to provide truck capacity more often than during times more readily available truck capacity. The freight hauled by Landstar on behalf of other truck transportation companies includes almost all our commodity group base, including our substitute line haul service offering. Substitute line haul loadings was one of our strongest commodity performance throughout the pandemic. However, load volume for this service offering varies significantly based on domestic consumer demand and decreased 60% in the 2023 first quarter from the 2022 first quarter. Overall, revenue hauled on behalf of other truck transportation companies in 2023 first quarter was 47% below the 2022 first quarter, a clear indicator in our model, the capacity is more readily accessible. Revenue hauled on behalf of other truck transition companies was 18% and 24% of revenue in the 2023 and 2022 first quarters, respectively. Our business remains highly diversified with over 25,000 customers, none of which contributed over 4% of our revenue in the 2023 first quarter. The decrease in truckload volume we experienced quarter over prior year quarter was primarily driven by changes in the overall freight environment rather than the loss of any major accounts. During the 2023 first quarter, BCO truck count decreased by 472 trucks and has decreased approximately 9% versus this time last year. Historically, Landstar has experienced increased turnover in BCO truck count when truck rates decreased. Over the past 12 months, truckload rates decreased at the most rapid pace in recent years. The largest truckload rate decrease was with respect to services provided on van equipment, which is a primary equipment type hauled by BCOs. BCO turnup has also been influenced by a significant increase in the cost of repairs and extended period of time trucks are out of service awaiting parts. The ability to get back on the road is also impacted by the high cost of used trucks, which impacts the potential for BCO to trade their existing used truck for a newer used truck that may be less subject to unscheduled maintenance issue and unforced downtime. I will now pass to Jim Todd to comment on other additional P&L metrics regarding the 2023 first quarter performance.
James Todd : Thanks, Jim. Jim G has covered certain information on our 2023 first quarter, so I will cover various other first quarter financial information included in the press release. In the 2023 first quarter, gross profit was $152.9 million compared to gross profit of $214.6 million in the 2022 first quarter. Gross profit margin was 10.7% of revenue in the 2023 first quarter as compared to gross profit margin of 10.9% in the corresponding period of 2022. In 2023 first quarter, variable contribution was $208.7 million compared to $270.5 million in the 2022 first quarter. Variable contribution margin was 14.5% of revenue in the 2023 first quarter compared to 13.7% in the same period last year. The increase in variable contribution margin compared to the 2022 first quarter was primarily attributable to an increased variable contribution margin on revenue generated by truck brokerage carriers as the rate paid to truck brokerage carriers in the 2023 first quarter was 330 basis points lower than the rate paid in the 2022 first quarter. As a result, variable contribution per truck brokerage load increased 9% in the 2023 first quarter compared to the 2022 first quarter, despite a 10% decrease in truck brokerage revenue per load. Other operating costs were $12.4 million in the 2023 first quarter compared to $11.1 million in 2022. This increase was primarily due to increased trailing equipment maintenance costs and an increased provision for contractor bad debt, partially offset by increased gains on sales of used trailing equipment. Insurance and claims costs were $27.6 million in the 2023 first quarter compared to $30.8 million in 2022. The decrease in insurance and claims costs as compared to 2022 was primarily attributable to decreased net unfavorable development of prior year claim estimates and decreased severity of accidents during the 2023 period. During the 2023 and 2022 first quarters, insurance and claims costs included $1.9 million and $4.3 million, respectively, of net unfavorable adjustments to prior year claim estimates. However, total insurance and claims costs were 5.3% of BCO revenue in the 2023 period and 4.2% of BCO revenue in the 2022 period. The 110 basis point increase in insurance and claims cost as a percentage of BCO revenue was almost entirely attributable to the 19% decrease in BCO revenue per load. Selling, general and administrative costs were $53.6 million in the 2023 first quarter compared to $52.7 million in 2022. The slight increase in selling, general and administrative costs was primarily attributable to increased information technology costs and increased wages, almost entirely offset by a decreased provision for compensation under the company's variable programs and decreased employee benefit costs as a result of favorable medical and pharmacy loss experience. In the 2023 first quarter, the provision for compensation under variable programs was $3.3 million compared to $7.2 million in the 2022 first quarter. Depreciation and amortization was $15.2 million in the 2023 first quarter compared to $13.8 million in 2022. This increase was almost entirely due to increased depreciation on software applications, resulting from continued investment in new and upgraded tools for use by agents and capacity. The effective income tax rate of 23.3% in the 2023 first quarter was 50 basis points higher than the effective income tax rate of 22.8% in the 2022 first quarter, primarily attributable to larger net excess tax benefits from stock-based compensation arrangements during the 2022 first quarter. Looking at our balance sheet. We ended the quarter with cash and short-term investments of $388 million. Cash flow from operations for the 2023 first quarter was $139 million and cash capital expenditures were $6 million. Back to you, Jim.
Jim Gattoni : Thanks, Jim. Our record success in the 2022 first quarter made for very difficult year-over-year comparisons. Heading into the 2023 second quarter, year-over-year comparisons are only slightly less challenging. Beginning in the 2022 second quarter, we began to see truck pricing soften. Sequentially, revenue per truckload in the 2022 second quarter was 3.7% below the 2022 first quarter. However, truckload has continued to be strong in the 2022 second quarter, increasing 3.6% over the 2022 first quarter. Yesterday's earnings release made note that early April truckload count was trending below historical sequential monthly patterns. Historical sequential patterns in this context refers to the 5 years prior to the pandemic. Given the lower start in truckload volume in early April, we are anticipating that sequential month-to-month trends in truckload count will return to more normal patterns in May and June. Taking into account our early April loadings experience and assuming the return to normal month-to-month trends, we expect truckload count in the 2023 second quarter about equal to the 2023 first quarter. This compares to an average increase in truckload volume of approximately 8% when comparing historical first quarter to second quarter truckload volume. We expect truckload pricing to be significantly below the 2023 first quarter as rates have slightly softened in early April. We expect 2023 second quarter revenue per truckload to be below 2023 first quarter revenue per truckload in a range of 1% to 3%. The decrease compared to the 2023 first quarter is primarily due to January 2023's relatively strong truck revenue per load which drove the average for the first quarter above the starting point of the second quarter. We also expect revenue for our non-truck modes to exceed the 2023 first quarter by 10% to 15%. Based on these assumptions, we expect revenue in the 2023 second quarter to be in the range of $1.4 billion to $1.45 billion, and diluted earnings per share to be in the range of $1.90 to $2. The 2023 second quarter guidance incorporates a viable contribution margin range of 14.2% to 14.4%, and insurance and claim costs similar to the 2023 first quarter. There are some specific items impacting the 2023 second quarter range of diluted earnings per share guidance of $1.90 to $2 compared to the 2023 first quarter actual diluted earnings per share of $2.17. Second quarter SG&A is expected to be above the first quarter due to the cost of Landstar's annual convention in April, plus we expect employee benefits, primarily medical loss experience, to return to more normalized levels. We expect variable contribution to be 2% to 4% below the 2023 first quarter. This anticipated variance results from the expectations of a higher rate of purchased transportation that would be paid to truck brokerage carriers in the 2023 second quarter versus what was actually paid in the 2023 first quarter. Also, the second quarter tax rate is expected to be slightly higher than the first quarter, driving a $0.03 unfavorable earnings per share variance compared to the first quarter. And with that, Bill, we will open to questions.
Operator: [Operator Instructions] We have the first question coming from the line of Scott Group of Wolfe Research.
Scott Group : Jim, I just want to get your perspective on you're counting on normal seasonality in May and June. What changes in May to sort of start to get freight more in line with seasonality? What's driving that assumption?
Jim Gattoni: It's actually the lower April, to tell you the truth, because we've seen the dip and a little bit of leveling off. So we think we're going to -- I don't want to call it a trough, but it's really just coming off what's going on in April. And the volumes are relatively strong compared to 2020. They're very strong still. It's just we're seeing a little bit of stabilization there. And we expect to hit this April trough and then just kind of go back to normal seasonal trends. So it's really mostly due to the April softness.
Scott Group : Okay. And then when I look at rev per load down from 1Q to 2Q a few percent, are you expecting that to be the bottom for rev per load? And then there's a lot of talk about this huge spread still between contract rate and spot rate. And if spot doesn't get better, do you think that means further pressure to contract rate? How are you thinking about all that?
Jim Gattoni: Well, when looking at our -- what we look at, Scott, is a 20-day rolling average. So I get that report every day to show what the last 20 days look like because our day-to-day spot rates bounce all over the place. So I think what I'm -- what we're looking at today is a lot of bounce in the day-to-day and a little bit unpredictable. I think we're comfortable in the short term to say that we're going to be within that minus 1% to minus 3% first quarter -- you're below first quarter range. Beyond that, it's hard. I am still a believer in cycles, and I do believe that, that contract rate and spot rate are going to spread apart or stay spread apart and eventually you're going to firm up that spot rate, whether that's now or sometime later in the summer. I don't want to call a trough, but I think we're -- we have recently seen the spot rates drop a little bit more into April. And so there's a little bit of concern that 1% to 3% might be, I don't want to call it aggressive, but we're pretty comfortable with where we are and that the spot rates are a little high for now because I think the spread between contract and spot is relatively large right now. I don't know how much further it can go down.
Scott Group : I mean -- I guess that was my question. Let's just say if this is -- if Q2 is the bottom for spot, do you think it's the bottom for your rev per load in Q2 or because of the contract spot spread, do you think there would be further pressure in your rev per load into the back half?
Jim Gattoni: I don't think there'll be further pressure into the back half when things start to -- unless the economy drops off even more, I would think we're pretty comfortable with the normal seasonality on revenue per load trends after we get through this midway through the end of the second quarter. Now it will rise on an economic demand. But I'm pretty comfortable saying that we probably see normal trends slowing after the second quarter as things start to -- based on my theory of normal cycles because if you look through the pandemic, we almost normal cycled to a tremendous peak and then dropping into a trough here. We started seeing our rates drop in February, which was 13, 14 months ago, and you look at an 18-month -- 18- to 24-month peak to trough, I'm a believer in the cycle. It happened through the pandemic, and I think it's going to happen again.
Operator: We have the next question coming from the line of Jordan Alliger of Goldman Sachs.
Jordan Alliger : Just curious, interesting with the pricing in the dry van versus the unsided, the gap of the minus 26% versus the minus 6%. I'm just sort of curious, does that spread narrow with dry van worse with the unsided sort of worsening? Or is it more the other way around where at all sort of converges? Like I'm just sort of curious the dynamics on the unsided versus the dry van around the pricing from here.
Jim Gattoni: I would actually say it's converged right now. If you look at -- so we watch the variance between our revenue per load on van compared to our revenue per load on flatbed. And what's interesting, it was last year's first quarter where that gap was about as close as I've ever seen it. The gap between -- now the flatbed rate is typically higher than van rate. I've never seen a below van rate, to tell you the truth. But first quarter last year, the spread between the van revenue per load and the flat revenue per load was only 25%. That to me was like an all-time gap. It was the close it's ever been. If you look at history, it tracks between about 40% and 70% gap. We are right now back to the more normal 60% to 70% gap between van and flat revenue per load. So I would say it's already at its normalized point between the spreads between those two.
Operator: We have the next question coming from the line of Jack Atkins at Stephens.
Jack Atkins : Okay. So I guess, kind of sticking with the rate series of questions here for a moment. But Jim, kind of going back to the prepared comments where you're still seeing a pretty hefty premium in rates today -- rate per load today versus pre-pandemic. When we kind of look at spot market rates, though, they're kind of broadly back to 2019 levels, excluding fuel. I guess what -- as a spot player, why do you feel like your rates are kind of going to significantly decouple over time from where the spot market rates have kind of settled out?
Jim Gattoni: Well, I think our rates are always a little bit higher than what you're reading in the industry a lot because our BCO stuff is -- you've got -- you got drop and hook, you got trailers in there. You've got -- and it's specialized non-routine irregular route, not really dedicated type business. So if there's -- people run in spot, that is pretty much routine, that's not where we play. So we generally are -- we always do sit a little bit higher. And yes, I read a lot of the stats. And if you remember, I don't know if it was February last year or the year before when there were certain industry trade reports coming out that we were pre-pandemic, that revenue per mile was below pre-pandemic last February. That was crazy. We were still 30% or 40% above. So it's tough to speak -- it's really hard for me to speak to the industry data because I couldn't get my hands around it back then. But you just see relative stability. Our trends that we look at -- I've got 10 years of trends and our trends are performing at below historical norms, but not so absurdly that I'm worried that I'm going to go pre-pandemic -- below pre-pandemic. The cost in the system, and we don't own trucks, but we could feel the cost in the system, right? You look at our cost of insurance compared to 2019, I think if you look back, it may have cost us on a BCO load, $80 a load. We're up over $125 a load today, right? So it's all those things built into the system and into the industry. And I don't think you're going to drop back there. If you look at revocations, somebody put stats out about truck authorizations and truck revocations, those are up, right? So you're already seeing some kind of turn in the amount of available capacity in the industry with some -- I would guess, over the next few months or few quarters, we're going to see more trucks come out. So I think there's a stability here because if rates go down more, it's just going to push more trucks out of the system.
Jack Atkins : Yes, yes, absolutely. That makes a lot of sense. I guess maybe shifting gears for my follow-up question. I'd love to kind of get your thoughts on cross-border. You guys have a large cross-border franchise. There's a lot of good things that could perhaps happen in terms of cross-border freight over the next few years. Just would be curious to get your kind of take on what you're seeing in your cross-border business today, how you think that's going to trend over the course of this year. And then we are seeing some new rail partnerships to start to move some of this cross-border freight via the rail. Do you think that sort of reinforces a longer-term positive view there? Or does it increase competition? Just would love to get your thoughts on that item.
Jim Gattoni: Well, Jack, you didn't say good morning to Joe, but Joe is with us today, and he's actually an expert at Mexico Cross-border.
Joseph Beacom : Yes. Great question. Yes, we're still very bullish on cross-border and seeing some evidence of the near-shoring that we've heard about for quite a while. And from -- as compared to the overall market, that market has held up quite a bit better, both from a volume and a price perspective. So yes, we're still pretty optimistic there, still seeing a lot of opportunities there. As it relates to the rail, I guess, we'll see. I saw some of the commentary about the mergers and now we're going to have more rail competition and that kind of thing. I guess, it just depends on how that shakes out and what the service requirements are, what the -- whether it's something that can go on, on the rail or not. And I just don't have enough detail to say with any degree of certainty whether that becomes supportive or more of a competitive thing for us. But continue to be pretty bullish on the cross-border business going forward, just based on all the things that seem to be materializing around some of the near-shoring stuff and then just the relationships that we have on the border and some of the capabilities that we continue to develop on the border and -- carrier relationships and transloading capabilities and that kind of stuff. So we remain pretty optimistic there.
Jim Gattoni: Jack, on top of that, our revenue was down much more than -- the Mexico cross-border revenue is only down about 9% compared to our overall drop in revenue.
Operator: We have the next question coming from the line of Stephanie Moore of Jefferies.
Stephanie Moore : Jim, I always appreciate, I think, your perspective on where we are in the cycle. And I think we can all admit that it's been a pretty abnormal 3 years now and everything that's transpired. So I just wanted to get your perspective. I think you clearly outlined where it stands currently on capacity and demand levels. But -- maybe how do you think this could pan out if the U.S. broadly moved into more of an economic recession as we go through 2023 and early 2024? I think many economists -- while some economists at least are pointing to, what do you think that could mean for this current freight cycle, especially compared to historical ones?
Jim Gattoni: Yes. The one thing you think about is the shift from contract rate to spot rate, that's the one differentiating factor we have with some of our peers who actually have contract rates. So when I talk about an 18- to 24-month cycle, we would -- look, if the economy weakens, we're clearly going to see volumes drop further than we're currently thinking about. And we would probably also see that rate drop further than we would -- than we're currently thinking about, if we have a worsening in economy going into the back half of the year. But I'm still a believer that it will drop back to the pre-pandemic levels from a pricing standpoint due to the significant cost burdens in the industry. When you own a truck today, the cost of a new truck, the cost of repairs, the cost of driver wages, the insurance costs and everything that ties to running a truck today will get trucks out of the system quicker. And I think you'd see that happen. So my thing would be, I'd say that I'd be a little more worried about drop-off in volumes, which is the one thing we try and control here. And then the rate, I think, it will be a little more stable in a drop-off like that. It's just -- because there's going to be a point where the trucks just aren't going to haul freight. And I think we're not far from that point.
Stephanie Moore : No, understood. And then maybe just as a follow-up, in this current environment, what are you seeing maybe from a competitive standpoint in this market? Any enhanced rationality just given where our rates are or how does it kind of compare to other -- to previous periods at this point in the cycle?
Jim Gattoni: Well, in this point of the cycle, the usual stuff is happening. We're getting a lot of requests for quotes and pricing and the shipper is at the advantage. I don't think there's any question right now, shippers are still looking for price cuts. And it's typical for this time of a cycle for them to be coming at us with price cuts for some of our normalized business. Some of the stuff we do routine, even some of the drop-and-hook business, we're getting that. And you try and hold off as much as you can, and sometimes we have to walk away because you can't get trucks to haul the freight. And that's one of the things that you see a trigger. Now we're not seeing that yet with trucks being like, I can't haul it for that rate. But sooner or later, they're going to push pricing low enough where it's going to be hard to find a truck. Now we're not there yet, but that's the typical cycle, right? That's what drives our spot rates back up over time.
Operator: We have the next question coming from the line of Bascome Majors of Susquehanna.
Bascome Majors : Jim G, starting in October, you began walking us through kind of a hypothetical revenue downside scenario and how the business might perform. I think you started off at 20% and you honed that a little bit for us in January or February. Can you walk us through -- trying to kind of walk the business to trough how the business might perform and anything you would change to what you shared with us before based on how this year has developed so far?
Jim Gattoni: Nothing's really changed into kind of what we said before other than the fact that we're not -- that 20% bogey of a drop-off is looking a little less likely based on the current trends. But if we were to get back to a 20% drop off, I would probably repeat what I said in October. Now I think there's probably a little more cost pressure than I anticipated back in October. We still see things rising, whether it's wages or insurance risk and stuff like that. But I would say if we can have a safe year and we do get back to a 20% drop-off in revenue comparatively to 2022, I still think that, that would be achievable. But I am concerned a little bit on the cost side with the -- a little -- some of the inflation come across some of the things, whether it's trailer repairs. That's one of the things that's been hitting us on our trailer side, trailer tires and all the other things that we -- where we have a little bit of a more fixed component, which is very small in our business, but still could knock us out of that 50% margin.
Bascome Majors : That's actually -- my follow-up from Jim Todd was going to be if you could walk us through some of your expense outlook that you laid out to us a few months ago, any of those have changed? And can you -- if anything is really seeing inflation from the expectations you said a few months ago, maybe help us understand that. And maybe an updated view on the incentive comp tailwind as well, as we think about how to model the bottom line?
James Todd : Sure. Bascome, I would echo some of Jim's thoughts with respect to other operating. Back in February, I gave a plus $1 million to $3 million year-over-year. I'm probably closer to that plus $3 million whereas the depreciation number I gave, I think, a 4 to 7, we're going to be, just in the environment we're in, a little bit more disciplined there on the CapEx side, so I'm probably closer to the low end. With respect to the compensation under variable programs, back in February, I gave a base case assumption of $12 million of tailwinds there and a total bear case of $18 million to $20 million in tailwinds. Based on first quarter, I'm probably wrapping $16 million to $18 million best guess of tailwinds from those programs, '23 over '22, which probably gets you to a flattish. 1Q of '22, SG&A was favorably impacted to the tune of about $2.5 million from forfeitures on equity compensation arrangements. So that's why we had a slight increase year-over-year. 2Q '23, I think, we'll be down on the SG&A line year-over-year.
Operator: We have the next question coming from the line Bruce Chan of Stifel.
Bruce Chan : Jim, I always appreciate your breakdown of activity by vertical, and it seems like there's been a little bit more resilience here on the industrial side of things than the consumer. Is there anything to tease out there as far as whether the industrial economy is just doing better or whether maybe it's further behind in the restock? And -- excuse me, whether it's further behind in the destock? And then as you start to plan for a restock, do you have any sense of what side of the economy might be recovering first?
Jim Gattoni: I would -- to me, it's more of a year-over-year comp comparison than it is a -- which one is doing better. I think the peak of van was way above the peak in flatbed, there is no question. I think there's just a lot more stability on the industrial side than the consumer side. Consumer really drove in the last 2 or 3 years, and it wasn't really driven that much by the industrial economy. So it's more to me when I look at it -- one of the things we saw positive was machinery. It was only positive like 2% of low volume. So that's not gangbusters. But on a comparative -- from looking at where we were last year, van revenue per load peaked in, I want to say, February and then flatbed only peaked in July, but their peaks were so much different. Where the peak van in February is probably 50% of where it was 3 years ago, but the peak in flatbed was 20% to 30%. So it's more of a year-over-year comp. So I would -- to summarize it, flatbed was a lot more stable going through the pandemic than the van stuff. Van just really drove the business for the last 2.5 years, and it's dropping off faster than the industrial economy.
Bruce Chan : Okay. Great. That's really helpful. And then just a quick follow-up maybe for you or Joe. If we could just get your perspective of what's happening here on the lending side, I mean not just with the rates, but with potential credit crunch. How is that affecting your business on the BCO side, but also on the truck brokerage carrier side?
Jim Gattoni: As it relates to people buying, they'll buy new trucks. That one, I'm not sure I follow the question.
Bruce Chan : Yes, exactly. Just as far as the potential entry for new equipment, new trucks, new capacity in the marketplace.
Jim Gattoni: Yes, on the new truck side, what really impacts us more than anything is the used truck pricing because our guys generally don't go out and buy $180,000, $200,000 trucks. And it has -- in some of my prepared remarks, it stops guys from -- with the elevated used truck pricing, they wait longer to get repairs, right? So it keeps -- the utilization is down partly because of that. Our utilization is -- was below where it was last year. And that's a load per BCO per week number. So it keeps our guys -- it could keep them on the side of the road for a little while because they have repairs they need to get done, but they're not in the new truck. But right now, they're still not -- I don't see them buying a lot of used trucks because of the way the price is still relatively high compared to where it was historically. But the new truck pricing isn't something that really impacts us as much as it would someone who's driving assets.
Operator: We have the next question coming from the line of Scott Schneeberger of Oppenheimer.
Scott Schneeberger : Sorry, guys, I was on mute. Just kind of want to follow up on Bruce's first question on the -- specifically on the flatbed side. Could you speak, Jim Gattoni, I guess, to the February to March and particularly the April trend? You just kind of responded that it looks very stable. Do you expect it to continue to be stable? I'm curious, is there anything you can point out that's been providing the stability? The manufacturing reshoring trend, anything with renewables, infrastructure bill, anything like that, that you can point to that you've been hearing from the field?
Jim Gattoni: One thing about the flatbed unsided service offering is that it's a little more volatile because you've got heavy haul mix in there, length of haul and a whole bunch of stuff when you look at revenue per load component for that. What we're looking at -- and I'll tell you what the flow was from January, February and March compared to prior year on the revenue per load on flatbed. It was plus 6% in January, minus 10% in February and minus 3% in March. So it's really hard to get your hands around that short-term month-to-month low. So when we speak about it, we're kind of looking at a longer-term trend in that. But when I look at end markets there, with us, it's really -- like we're not big infrastructure guys. We don't do roads or anything like that. So -- but what it does do indirectly, as flatbed gets tied up, it just provides less flatbed capacity in the market and that just drives rates up. And with -- if industrial production starts dropping off a little bit on the heavy machinery and stuff like that, but infrastructure costs kicking in, I think that you'll just going to see more stability on the flatbed side than you would on the van side. And it's kind of what we're seeing and what we've seen over the last 3 years. Do I think it's going to go gangbusters? No. I never -- I was never in a position to say that any growth on the flatbed side would offset the consumer demand drop-off. I think I said that 2 years ago, and I think that's where we are right now. I like the stability more than I like the stability on the van side, and I think we're pretty comfortable with a more stable flatbed environment based on the demand we're seeing from the typical stuff. It's ag or some mining or some -- if they do infrastructure, yes, we'll be hauling some of the equipment, but we don't necessarily do bridges and stuff.
Scott Schneeberger : Got it. I guess, I'll follow that. Maybe some monthly commentary on the van side and anything particularly interesting in April over on van?
Jim Gattoni: Well, I think that one, I would say, it was more stable about January where January, it's only minus 2%. Compared to last year on the van side, which is kind of unusual. Typically, it drops off more, but the drop-off happened in February. So we sort of drop-off to 17% from -- I'm sorry, that sequentially. It dropped from December to January 2%, but then it dropped 17% -- it made up for the -- January typically drops off more than that. But by the time we got to the end of February, it's kind of a normal drop-off. I'm quoting bad numbers. Minus 2% year-over-year, minus 17% year-over-year February and then minus 14% year-over-year March. So you saw some improvement -- and -- but the commentary is correct. Unusual January, it was higher than we anticipated. The drop-off in February made up for that. And then we saw what we thought was rather normal coming into March. So it's a lot more -- there's a little bit more slope on the van side than there was on the flatbed side. And we actually do look at that month-to-month, that makes a little more sense than the flatbed side.
Operator: We have the next question coming from the line of Christopher Kuhn from The Benchmark Company.
Christopher Kuhn : I just -- you have an enviable balance sheet. Just wondering what the plans are for the cash in this rough environment. Are there potential acquisitions or buybacks?
James Todd : Chris, yes, you know our model, right? We've got 625 Million Dollar Agents in 2022, generating 97% of the consolidated revenue, right? So we prefer to invest in technology tools to make them more successful. You're absolutely right. We -- despite $83 million of dividends paid in the first quarter and $15 million of buybacks, cash still increased 1Q '23 versus year-end. So we're opportunistic, when we think it's value accretive, to jump in there. Look at the back of the baseball card last year, we'll get aggressive.
Christopher Kuhn : Okay. And just a quick follow-up. You talked about the variable comp and the 20% down revenue environment, but the cash flow guidance, I think -- or the cash flow commentary you've suggested before still could be pretty around $300 million. Are you still comfortable with that?
James Todd : Yes. We put out, Chris, $300 million, I think, last summer, and then we revised that in February to $350 million free cash. First quarter, I think we did -- we did about $133 million of free cash, but included in there was a $41 million net working capital release, right, given the step down. If our 2Q guide is good and move throughout the year, I'm still comfortable with that $350 million or above.
Jim Gattoni: And I just want to touch on a clarification. Before we have another question, just to clarify, I want to re-clarify our revenue per load trends for van and flatbed. So year-over-year, van, January was minus 2%, February was minus 17% and March was minus 14%. And flatbed year-over-year, January was plus 6%, minus 10% in February, minus 3% in March, just to clarify.
Operator: We have the last question coming from the line of Felix Boeschen of Raymond James.
Felix Boeschen : I was just hoping we could talk about BCO utilization. Jim, I understand some of the comments around parts maintenance, but I'm curious just how you're thinking about BCO utilization through the year. And bigger picture, if you think anything structural has changed in utilization versus pre-pandemic levels?
Joseph Beacom : Felix, this is Joe. We've kind of, again, broadly talked through the utilization picture. It was down 5% in the quarter year-over-year. And I really do think that is -- utilization tends to decline when you have a declining volume demand or pricing and we've had both for a year or so. And I think there is just a lot of hesitancy there. I think the equipment stuff that Jim spoke to earlier really can't be underestimated. There's a lot of uncertainty. If you're running a used truck and you're going to get out on the road and it's going to break down and you're going to be 1,000 miles from home, and you can't get a part for 3 weeks, that's daunting, right? And so I think it's a culmination of the options that are out there and the costs that are on the capacity providers and then just the uncertainty around equipment. I think all those things, plus the declining haven't quite hit trough. I think all those things are kind of leading the utilization piece. And as those things firm up and start to turn, I think the utilization will obviously move back in the other direction, and you'll see truck count move back in the other direction as well. But I don't think there's anything structural, I guess, was your other question, Felix. I don't think there's anything structural around the utilization piece. I think it's just a lack of certainty, right? And with uncertainty, people tend to be a little bit more hesitant to do things, and they're just kind of being less productive.
Operator: At this time, I show no further questions. I would like to turn the call back over to you, sir, for closing remarks.
Jim Gattoni : Thank you. In closing, we don't expect much change to the overall freight economy in the near term. Truck revenue per load remains well above pre-pandemic levels. Demand for freight transportation has significantly softened as compared to a year ago, driving truckload volume lower. Directionally, it is difficult to forecast truck volume levels beyond the next few months as future economic conditions are very unpredictable. Regardless of the economic environment, Landstar's challenging year-over-year comparisons, the resiliency of Landstar's variable cost business model continues to generate significant free cash flow with fiscal 2023 free cash flow expected to exceed $350 million. 2022 was a historic year for Landstar, achieving new levels of record financial performance. Landstar has always been a cyclical growth company, reaching higher highs, as we did in 2022, with higher lows, like we expect in 2023. Landstar has no reason to believe history won't repeat itself out, and we look forward to achieving higher highs when the freight economy turns. Thank you, and I look forward to speaking with you again on our 2023 second quarter earnings conference call currently scheduled for July 27. Have a good day.
Operator: Thank you for joining the conference call today. Have a good morning. Please disconnect your lines at this time.